Operator: Good afternoon and welcome to the KNOT Offshore Partners’ First Quarter 2015 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Arild Vik, CEO and CFO of KNOT. Please go ahead.
Arild Vik: Thank you and good morning. Welcome you all to our first quarter 2015 results call. And then please note the cautionary statements on Page 2. And we can then go on to talk about the first quarter, which has been a stable and good quarter for the partnership. We now have in total operation eight vessels, so we have expanded with four since we did our IPO. So we have generated revenue of $36.2 million, operating income of $17 million, and net income of $7.2 million reflecting that there is also certain derivative losses which I’ll come back to which are basically mainly unrealized. And we generated adjusted EBITDA of $28.3 million and we generated distributable cash flow of $16.4 million. We have had strong than budgeted utilization virtually no downtime on our fleet and we did declare increase in distribution 4% up to $0.51 for the first quarter and this reflects the coverage ratio 1.36. Further, Mr. John Costain has now been appointed as the new CEO and CFO of the company and he will take his position up on June 1. And he is currently – he is previously been on our Board and he has long experience within the tanker industry in various finance positions. And also under the partnership agreement we elect directors independent elected directors have appointed Mr. Simon Bird UK National currently employed with Bristol Ports and also have long logistics experience to become a new member of our board with effect from today. And if we then look more closely at our income statement on Page 4, I’d just like to highlight in addition to what we talked about on the revenue side as previously there are certain non-cash items, minor amounts and I suppose the main area worth noting is the derivatives where we have realized, non-realized losses of in total $5.6 million of that $1 million is realized losses connected to interest rate swaps and there are $4.6 million which are unrealized related to foreign exchange and most of it $2.9 million related to long-term interest swaps. So that means that we have – as we have previously had strong top line numbers and basically our finance costs are also inline with expectations and we shall see how obviously the interest rate develop in order to see what will be the long-term effect here. But I think already today our unrealized losses are lower than what was reflected as of March 31. And if we then go to Page 5 this is our balance sheet and as you can see we have $32.8 million in cash our interest bearing debt is $6.04 million and our credit margin has come down to 2.3% and we have a repayment profile now of in average 15.8 years and we have set out on this slide as well the repayment schedule showing that we don’t have any major balloon financings until 2018. And as mentioned we have done interest rate swaps total of $380 million average duration is 4.5 years and the rates we pay are in on average 1.47. So we continue to maintain a strong balance sheet. On Page 6, we have shown the distributable cash flow calculation to showing that we distribute in total or we have a distributable cash flow of $16.4 million and as mentioned this give us with distributions of 12 at 1.36 converge ratio which is a strong ratio due to better than forecasted operations and some extent also lower financial cost on the non-secured debt portion. On Page 7, you will see the calculation of the adjusted EBITDA of $28.3 million and I think the numbers then follow from what we have talked about without any special items that I think I need to mention. So that basically concludes the presentation of our numbers which we ourselves see us very much inline with what we have expected anyway. And if we then go to Page 8, I just want to summarize for you current status. As mentioned we are now up to eight vessels with remaining fixed contract duration of 5.1 years and there are in average of 2.1 years of optionality for the charter and where we continue to believe that based on the projects we are involved in the long-term demand for these vessels will be there. On Page 9, we have set out our dropdown fleet and in actual fact the fixed contract period there is 7.1 years in average and there is also options to which again on average is 7.7 years, and with strong charters securing that we have solid backlog to continue to grow the partnership for the coming years. Page 10, that is summary of our quarterly figures development since IPO and we continue - we have throughout this period had better than forecasted operation on the technical side. The EBITDA levels have been stable in relation for the comparable fleet obviously growing with number of ships coming in. And we have had consistently high coverage ratio with the exception of what happened in the second quarter of 2014, where we had newly distributed units without the corresponding earning being part of that quarter, but as you will see that that has been straightened out over time. On Page 11, this is a graphic figure showing development on our distributions and coverage ratio and as you will see we in the first quarter is up 4% over the Q4, 2014 distribution and we have then exceeded so for our initial guidance to the market to grow 10% to 15% annually for the first three years period. So we believe this shows a strong development that we can put into our - behind us. And then on Page 12, this one we have included in order to show how the fleet in the partnership has developed and also how the inventory has developed. And I think the highlight here is that we started with four vessels, we have put in four, but whilst doing that we have also increased the backlog quite substantially. And the latest addition was contract for a vessel in Brazil with an international oil company that was made this first quarter. And as far as continued development is going on, we see that although as we have talked about delays in Brazil, there continue to be delays, but they are also due to phasing out the vessels, and due to especially some of the new projects coming along as planned. We continue to see new projects and contracts under discussion, and continue to be very optimistic that we shall see further new activity within this year. So by that I conclude my presentation. I reiterate that it’s been a strong quarter, very much operation as expected and we are definitely very positive that shuttle tanker market has - continues to have strong potential to grow as we believe from the identified vessels on the contract that was made during the last 12 months and also as I said we expect further positive development. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] And our first question will come from Spiro Dounis of UBS Securities.
Spiro Dounis: Hey, good afternoon. Arild, how are you?
Arild Vik: I’m fine, thank you.
Simon Bird: Fine, and how are you?
Spiro Dounis: Great. Not too bad. So just wondering how you and maybe some of the oil majors you speak to are viewing this I guess rebound we have had in crude prices over the last month or two? I know you've mentioned in the past maybe the distribution growth rate guidance could be scaled back a bit in response to the market, and maybe some projects coming offline in a few years, and just where the unit price was trading. I was wondering if that's still the case, or are you feeling optimistic these days, or are the oil majors feeling more optimistic these days, just given where the crude price is?
Arild Vik: I think we have throughout felt that this development is not stopping and obviously the fact that the oil price seems to come back somewhat is helpful in this respect. But I think the main message from our side is that we have said throughout that much of the activity that we are going to see over the next five years is things were which have already come a long way and on that basis we continue to see as I said there is - continued to be activity on discussion of new contract. So and the oil price I think obviously is helping that in the right direction, but we are never been in a position that sort of things have been held back to a large extend.
Simon Bird: Spiro, this is Bird, remember that when the oil price dropped considerably we said the activity in the markets for new shuttle contracts really improved, so we have seen a lot of discussions in the markets for new deals and I don’t think it’s fair to say that this short-term list we’ve seen lately has really changed anything in the market. Oil companies seem to be quite confident on the way down and they stay long on the way up.
Spiro Dounis: And is that a result of owners just doing enhanced oil recovery to squeeze every last drop out of the wells they've already poured a lot of money into? Is that the driver behind the increase?
Arild Vik: No I think it’s just maturement of projects that are up for shuttle tanker demand and of course what we have discussed is of course is very good development in Brazil and that’s been quite positive and I think those the companies exposed that they wanted more capacity to transport their oil.
Spiro Dounis: Makes sense. And with respect to the potential BG Shell merger, I guess a lot of talk so far has been around the impact on LNG carriers, but how are you viewing this potential merger from a shuttle tanker perspective?
Arild Vik: Well I believe that one of the reason Shell booked BG is that they find their oil activity and their oil assets in Brazil interesting and all we hear is that there is good speed in relation to making sure that can be developed as quickly as possible. Over time of course we would expect once the merger becomes effective that there will be some level of coordination, but we don’t think that will affect the activity levels.
Spiro Dounis: Gotcha. Great. That's it for me. And I guess we'll see you in a few weeks at [NAPPP]. Take care guys.
Simon Bird: Very good.
Arild Vik: Thank you.
Operator: And the next question comes from Lin Shen of HITE.
Lin Shen: Hi, good afternoon. Thank you for taking my call. Can you remind us what you think for the timing of the next drop down, and also how do you plan to finance the drop down?
Arild Vik: Yes, that’s a good question. We obviously have said that we’ll continue to grow the company I think we are looking to do further acquisitions this year, the unit price has been not encouraging so of course that also goes into our evaluation of this and obviously when it comes to – so we will not guide specifically on timing, but obviously we have these drop downs and we are going to do them. And of course in terms of financing we would believe that will be mix of debt and equity and we obviously need to follow the unit price a bit to see how we can optimize that in the interest of the existing unit holders.
Lin Shen: Okay, thank you very much.
Operator: Next we have a question from Ben Brownlow of Raymond James.
Ben Brownlow: Hi, good afternoon. Thanks for taking the question. I just wanted to follow up on the last question. I know the Ingrid vessel is a slightly higher spec, more expensive vessel. But could you give us just an idea of kind the range in multiples you expect for that drop-down to take place?
Arild Vik: Well, I think we are – again we don’t guide specifically, but I think it will be something along the lines of what you have seen.
Simon Bird: I mean the contract was bit longer, but I mean it’s not a reason to really change pricing based on that and then in the fairly stable interest rate environment we don’t see that relationship change a lot.
Ben Brownlow: Great, thank you. End of Q&A
Operator: [Operator Instructions] And showing no additional questions I would like to turn the conference back over to management for any closing remarks.
Arild Vik: Yes, thank you very much. Once again thank you all for listening to us and we look forward to welcome you again in three months time for our second quarter earnings presentation and that of course will be with the new management, so for me I take this opportunity to thank you all for your support and for your – my dealing with you during this time.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.